Operator: Good afternoon and welcome to the Bushveld Minerals Limited Q3 Operational Update. Throughout this quarter meeting, investors will be in listen-only mode. Questions may -- the company may not be in a position to answer every question received during the meeting itself. However, the company carry [ph] your questions submitted today and probably respond where it’s proper to do so. Before we begin, I would like to submit the following poll. And I would now like to hand you over to CEO, Craig Coltman. Good afternoon to you.
Craig Coltman: Good afternoon and welcome to the Bushveld Minerals Operational Update Call for the 3 and 9 months ending 30 September 2024. Unfortunately, due to ongoing discussions, we are not in a position to answer questions pertaining to the group's financial position, but we'll answer those questions which have been submitted in advance of the call. This quarter, Bushveld has taken difficult but necessary steps to stabilize our financial position, commencing with cost-cutting initiatives, including a reduction of the current labor complement at both Vametco and head office. Measures like these speak to our commitment to managing what is within our control against the backdrop of an adverse vanadium market. We've also made significant progress towards reducing the Barren Dam level. The team have worked tirelessly with limited staff to manually reduce the levels by approximately 2 meters. This is a commendable effort and it reflects Bushveld's commitment to safety, resourcefulness and operational effectiveness, even in these challenging times. Furthermore, we recently announced a controlled slowdown of operations at Vametco due to current liquidity issues. The duration of the slowdown will be determined by the timing of receipt of sufficient funds. Given the vanadium prices are still below our budgeted expectation, production isn't contributing free cash flow and we believe this is a prudent step to control spending. When we choose to ramp production up at Vametco, we will be able to do so relatively swiftly. The third quarter has seen lower volumes for the group of 855 mtV and 2,546 mtV for the 9 months, impacted by maintenance shutdowns, in addition to the cash flow challenges, which reduced ready availability of spares and raw materials. These lower production numbers and a strengthening of the rand against the U.S. dollar have led to an increase in weighted average production cash cost for the quarter of $27.50 per kilogram and for the 9 months of $27.80 per kilogram. Worthwhile noting that in rands, these unit cost increases were below the South African annual inflation rate. Owing to the company's working capital conditions, guidance has been suspended for the remainder of 2024. Focusing on Vametco and to give you a bit more detail on the individual assets, Vametco's Q3 production volumes of 485 mtV were impacted by a forced kiln cooler maintenance shutdown in August. Although the plant recovered off the shutdown, cash flow challenges impact overall performance. This was also the case for the 9-month period, which saw volumes of 1,387 mtV in addition to both the shutdown in August and the planned 25-day kiln maintenance shutdown in January and February. Were it not for these unplanned maintenance shutdowns in August, this would have otherwise been a successful quarter of production for Vametco and shows the progress that can be made when operating conditions are in our favor. However, as mentioned, a controlled slowdown of production has commenced at Vametco, as announced on 25 October 2024. Despite these controlled production slowdowns, we achieved in excess of 190 mtV in October 2024. Moving on to Vanchem. Vanchem's Q3 production of 370 mtV was impacted by issues with the kiln, which followed on from earlier maintenance work in May, with 9 months volume of 1,159 mtV impacted as with Vametco by cash flow challenges, in addition to the aforementioned issues with the kiln. The plant also experienced issues with the mills following the May shut, impacting ongoing performance between June and July. Post period end, all conditions relating to the sale of Vanchem vanadium processing plant, including the Competition Tribunal approval, have now been met and the transaction was successfully completed on Thursday, 7 November 2024. As a result, Vanchem is no longer part of the Bushveld Group. We also disposed of Lemur during the period for a nominal consideration, meaning that Bushveld is no longer liable for the outstanding USD 2.5 million owed by -- owed to the Development Bank of South Africa. This progress means Vametco is now our company's core asset. We will now move to the pre-submitted questions.
Operator: Perfect, Craig. Thank you very much. I'll start with the first pre-submitted, which reads as follows. How does the controlled slowdown in production at Vametco affect the time scale for Bushveld's turnaround, assuming vanadium prices recover as hoped?
Craig Coltman: Just to remind everyone, in late October, we announced a controlled slowdown of production at Vametco due to liquidity issues. At the time, we said the length of the slowdown would be determined by the timing of receipts of sufficient further funds. Following that, we announced in the latest quarterly that funds at hand are currently not sufficient to sustain the company's operations and meet its immediate liabilities. And the company is actively engaging with various stakeholders to explore options to address its liquidity position. On this front, further updates will be provided in due course. At current vanadium prices, which remain well below our budget levels, we are not able to generate sufficient profit to cover our costs at planned levels of production. However, since 1 October, we have seen a noticeable uptick in the vanadium price. It's certainly the first time I've witnessed this since arriving at Bushveld. And may I say, long may this trend continue. Thank you.
Operator: Thank you. Our next question, how long can we sustain loss-making?
Craig Coltman: As I just mentioned, we're in discussion with various parties. Our ability to continue operations depends upon the receipt of further finance and our ability to manage our creditors. Right now, we focus on managing costs carefully and prioritizing what we can control in terms of spend.
Operator: Perfect. What options are you pursuing to improve the liquidity situation?
Craig Coltman: We are assessing all options with our shareholders, lenders and advisers. But I'm unable, under stock exchange regulations, to provide further details at this point in time. We will update the market as soon as we have something material to report on this front.
Operator: And the last question we've got here is, what funds are still owed under the Vanchem sales agreement? And when will they flow?
Craig Coltman: Firstly, in terms of the capital payments, we've received all monies due as of today. There are, however, outstanding intercompany credit balances between Vanchem and Bushveld entities and vice versa. We expect to receive the deferred consideration Vanchem acquisition funds over a 3-year period. The minimum payment is $5 million per year, paid quarterly at $1.25 million per quarter, with a total potential payout of $20 million.
Operator: That's great, Craig. Thank you for addressing those questions. And just before we redirect investors to provide you with their feedback, which is particularly important to the company, Craig, could I please ask you for a few closing comments?
Craig Coltman: Yes, certainly. As we look ahead to the rest of the year, our focus will remain on effective cost management and prioritizing areas within our control to strengthen our financial position. We will provide an update and hopefully be able to answer further questions in due course as we explore all options to address our liquidity position. Thank you for dialing in.
Operator: Craig. Thank you once again for updating investors today. Could I please ask investors not to close the session as you will now be automatically redirected to provide your feedback in order that the Board can better understand your views and expectations. This will only take a few moments to complete and I'm sure will be greatly valued by the company. On behalf of the management team of Bushveld Minerals Limited, we'd like to thank you for attending today's presentation and good afternoon to you all.